Operator: At this time I would like to welcome everyone to the Check Point Software Technologies first quarter 2008 earnings results conference call. (Operator Instructions) Thank you. It is now my pleasure to turn the call over to your host, Kip Meintzer, Director of Investor Relations. Sir you may begin your conference.
Kip Meintzer: Thank you, Melissa. Good morning and good afternoon to all of you joining us today. This is Kip Meintzer, Director of Investor Relations for Check Point Software. On the call with me today are Gil Shwed, Chairman and CEO, Jerry Ungerman and Eyal Desheh, Executive Vice President and Chief Financial Officer. We would like to thank all of you for joining us today to discuss Check Point’s first quarter results. As a reminder, this call is being web cast live from our website and is being recorded for replay. To access the live web cast and replay information please visit the company’s website at www.Checkpoint.com/IR. For your convenience, the first quarter results replay will be available through May 1. If you’d like to reach us after the call please contact Investor Relations at +1 6506282050. Now before we begin management’s formal presentation I would like to bring the following disclaimer to your attention. During the course of this call Check Point representatives will make certain forward-looking statements. These forward-looking statements may include statements regarding Check Point’s expectations for our total security strategy, expectations that it will continue to execute on its strategic initiatives in the second quarter and beyond, beliefs that it will continue expanding and enhancing product offerings and expectations for its financial performance and growth for the second quarter of 2008. Other statements which may be made in response to questions which refer to our beliefs, plans, expectations or intentions are also forward-looking statements for purposes of the Safe Harbor provided by the Private Securities Litigation Reform Act. Because these statements pertain to future events they are subject to various risks and uncertainties and actual results could differ materially from Check Point’s current expectations and beliefs. Factors that could cause or contribute to such differences include but are not limited to the risks discussed in Check Point’s annual report on form 20F for the year ended December 31, 2007 which is on file with the Securities and Exchange Commission. Check Point assumes no obligation to update its forward-looking statements. Now I would like to turn the call over to Eyal Desheh, Executive Vice President and Chief Financial Officer.
Eyal Desheh: Thank you, Kip. Good morning and good afternoon to everyone joining us on the call today. I am happy once again to begin the review of an excellent quarter for Check Point. Our quarterly results came in at the high end of our projections and non-GAAP earnings per share exceeded them as we continued to experience growth across all our product lines. Before I go further into the numbers let me remind you that our first quarter of GAAP financial results include the following: Employee based compensation expenses pursuant to FSAS 129R and expenses related to the acquisition of [Zoa], Protect Data and NFR which we included in our 2008 results and were also included in previous years. Keep in mind that non-GAAP information is presented excluding these items. In our press release we said we had posted on our website we present GAAP and non-GAAP results along with reconciliation tables which highlight this data as well as our reasons for the presentation or non-GAAP information. Now let’s take a look at the financial highlights for the quarter. First quarter revenues were $192 million, an increase of 17% compared to $164 million in the first quarter of 2007. Now that data security is part of our core revenues we will no longer be reporting it separately as we communicated last quarter. With that, data security had a good quarter and revenues exceeded Q1 in 2007 by more than 25%. Products and licenses experienced strong organic growth of 17% over Q1 of last year. Revenue growth was led by our enterprise business in the United States. GAAP net income for the first quarter of 2008 was $78.3 million, an increase of 67% compared with $46.9 million in the first quarter of 2007. GAAP net income in the first quarter of 2008 includes acquisition related charges of $10.3 million and equity based compensation expenses of $9.1 million. Net of taxes the charges totaled $15.1 million. In Q1 2007 net income included acquisition related charges of $9 million and one-time in process R&D charge of $17 million and equity based compensation expenses of $8.3 million. Net of taxes these charges totaled $31.7 million. Non-GAAP net income excluding acquisition related charges and equity based compensation expenses was $93.4 million in the first quarter of 2008, an increase of 19% compared to non-GAAP net income of $78.6 million in the first quarter of 2007. Total GAAP operating expenses for the first quarter were $112.9 million compared to $119.1 million in the first quarter of 2007. Operating expenses on a non-GAAP basis were $93.5 million compared to $84.8 million in the first quarter of 2007. Our non-GAAP operating margin was 51%, consistent with fiscal 2007. Our effective GAAP and non-GAAP income tax rate during the first quarter was approximately 16% and 17% respectively. GAAP earnings per diluted share for the first quarter of 2008 were $0.36, an increase of 71% compared to $0.21 last year. These GAAP earnings include equity based compensation expenses of $0.04 per share and acquisition related charges of $0.05 per share. Net of taxes, these charges totaled $0.07 per share. In Q1 2007 GAAP earnings per share included acquisition related charges of $0.04 per share, the effect of one-time in process R&D charge of $0.07 per share and equity based compensation expenses of $0.04 per share. Net of taxes these charges totaled $0.14 per share. Excluding charges referred to previously non-GAAP earnings per diluted share for the first quarter of 2008 were $0.43 compared to $0.35 in the first quarter of last year. This is an increase of 23% year-over-year. Deferred revenue this quarter were $278 million, an increase of $40 million or 17% over March 31, 2007 and an increase of $5 million sequentially over the amount of deferred revenues at December 31, 2007. For the first quarter, our DSO (day sales outstanding) was 69 days compared to 72 days in the fourth quarter of 2007. While we saw a decrease in DSO during the quarter our business remained back end loaded. We generated cash flow from operations of $143 million, an increase of 30% compared to Q1 last year as the result of strong cash collection. We ended the quarter with over $1.3 billion in cash and investments. During the quarter we purchased approximately 3.4 million shares for a total cost of $73 million as part of our share repurchase program. During the quarter the Board of Directors approved a $400 million expansion to our share repurchase program. Before I turn the call over to Jerry for some further commentary on the quarter I would like to express some personal thoughts. I have been privileged to be the CFO of Check Point for the past eight years, or 32 quarters in a row, and it is time to say good bye. I hope that through the years you have found my service beneficial to all of you. I am leaving a strong and wonderful company with a glorious past and a promising present and future under Gil’s leadership. I wish all the best to Tal Payne, my successor, who I am sure, will be a great addition to Check Point’s seasoned management team. Jerry please go ahead.
Jerry Ungerman: Thank you, Eyal. Hello everyone. Gil and I just arrived in Tel Aviv this morning from Prague where we hosted our Europe, Middle East and Africa Check Point experience. This is our annual customer and partner conference and once again we had an excellent level of participation at the event with over 1,000 attendees. This was our second such event of the year as we hosted the America’s event in Las Vegas in March which also had great attendance and was very successful. We were very pleased with the level of enthusiasm we encountered from our customers and partners at these events as they continued to embrace our total security strategy and especially our new products and solutions. The consistent input we heard time and time again from both events was our customers continue to benefit from our total security solutions as they realize they can achieve a higher level of security and a lower total cost of ownership when they deploy Check Points Total Security Solution. This has resulted in a great deal of excitement around all our products but in particular there is quite a bit of interest around our Single Agent for End Point Security and our new UTM-1 and Power-1 appliances. During the quarter our Single Agent for End Point Security was received very nicely by our customers and we saw several very large deals close during the quarter. Moving forward we continue to be very pleased with the level of interest around our End Point security solution and we continue to see that interest translate into a solid pipeline of activity. For many years now Check Point has embraced a philosophy of providing our customers with a choice of how they deploy our security technologies. Over the years we have continued to evolve and expand the number of options and today our customers can now deploy Check Point Software on open servers, Check Point appliances, Check Point Integrated Appliance Solutions with partners like IBM or on dedicated appliance platforms with partners such as Nokia and Crossbeam. To this point, we announced this past Tuesday at CPX in Prague the expansion of UTM appliances and the introduction of a new line of Power-1 appliances to further broaden the choices available to our customers. Specifically, we have added three new models to the UTM-1 line including an entry level model priced under $5,000 and two high-performance models with one delivering up to 4.5 gbps performance. All of our UTM models have an integrated set of security applications including Check Point’s leading firewall technology, remote access and site-to-site BPM capabilities, Gateway anti virus, intrusion prevention capabilities, web filtering, email security and anti-spam. In addition, the introduction of our new high-end Power-1 appliances was a big hit with our customers at the Prague event. The Power-1 appliances provide performance of up to 14 gbps firewall through put while delivering the most cost efficient firewall for high performance environments available today with a price performance ratio under $4 per mbps. It also delivers a 6.1 gbps intrusion prevention speed providing customers the ability to stop application layer threats at industry leading speeds. Now I would like to finish up by providing you with some metrics from the quarter. During the first quarter our geographical revenue distribution was consistent with prior quarters with excellent performance in the United States and we were also pleased with our pick up from the Asian region. Specifically we had 44% of revenue coming from the Americas. Europe, the Middle East and Africa contributed 44% and the Asia Pacific and Japan region contributed the remaining 12% of revenues for the quarter. During the quarter we continued to see a number of larger deals. As a result, transactions greater than $50,000 accounted for 50% of total order value and we had ten customers that each had transactions greater than $1 million coming from both network security and end point security products. We were also pleased with the success we had against our competitors from all regions for both network security and end point security solutions. This includes both new opportunities and displacement. In summary, the excitement of our partners and customers is a validation of our total security strategy and we are very pleased with the results this quarter as we continue to execute on our strategy. Now I will turn the call over to Gil.
Gil Shwed: Thank you, Jerry and thank you all for joining us today. You just heard from Eyal and Jerry the first quarter was a very good quarter for us both from a financial and a business perspective for Check Point. We started the year by highlighting our strategy to make Check Point the security vendor of choice for our customers. This includes the unified line of security gateway, the single agent for input security and a single console for security management. [inaudible] the long-term strategy. We have already started to deliver on this [inaudible]. We launched the first single agent for input security in February. This month we launched the new high end Power-1 security appliance product line and expanded the UTM-1 product line with both entry level and high end models. Overall we are building a strong foundation for the future of security and we are getting good feedback from our partners and customers. Despite the uncertainty in the world economy we produced strong results in the last few quarters. At this time it is hard to predict if and what that impact will be on financial results. Our estimates are based on the pipeline and outlook we collect from our teams around the world. So far they are significantly predicting a healthy outlook. For the second quarter we expect revenues to be in the range of $190 to $200 million. GAAP eps is expected to be between $0.33 to $0.37 per share. Non-GAAP earnings per share excluding the effects of the acquisition and stock based compensation is expected to be between $0.40 and $0.44 per share. Before I open the call to your questions I want to once again thank Eyal for all his contributions to Check Point. He built a very strong financial team and infrastructure in Check Point and has been a great partner in the last eight years for running Check Point and making Check Point what it is today. Eyal thank you very much and good luck in your next journey. I would like to open the call for your questions.
Operator: Thank you. At this time I would like to remind everyone if you would like to pose a question press * then the 1 on your telephone keypad. We will pause for just a moment to compile the question-and-answer roster. Our first question is coming from Sterling Auty with JP Morgan. Please go ahead.
Sterling Auty - JP Morgan: Thanks. First Eyal congratulations. It has been a pleasure working with you through the years. Good luck in all your future endeavors. Then on to questions. Can you talk a little bit more in terms of color and if you could quantify that would be great about where you are at in terms of appliance revenue at this point and maybe take that discussion, Jerry, just a little bit further? We are hearing the same things in terms of market share gains. Specifically can you talk about what you are seeing competitively directly against Cisco?
Jerry Ungerman: I’ll talk about the competitive stuff, Sterling. We’re doing very, very well in the marketplace. As I said not only in new opportunities and displacements and very, very large transactions with very significant companies…both from the network stream products as well as the end point. It has been a very positive road we have been traveling here and this quarter was no exception. Significant wins. It is about our security solutions. A lot of it is on our appliances. We still do a lot with our partners both Crossbeam and Nokia. We had great success with our integrated appliance with IBM. We’re seeing across the board success and I guess that’s why we continue to expand the product line. The new UTM-1 models expanded ones as well as the new high end Power-1. We are very bullish on where we stand and I think our strategy on providing choice and our open choice program of software and hardware and then hardware appliances from us and integrated appliances from other partners has proven to be very, very effective. We hear that consistently in the marketplace. As I said Gil and I and others from the senior management team just came back from Prague and it was reinforced over and over by thousands of customers and partners that were in attendance there so I’m pleased with where we are going and how we are growing.
Sterling Auty - JP Morgan: One follow-up question. The end point security deals…the larger deals, is there any type of consistency in the type of environment in which you are winning? Meaning are you getting these big deals in either McAfee desktop situations or Symantec? Are there any kinds of trends whatsoever?
Gil Shwed: I can say there is a very good mix, a very different mix both in terms of type of customers and size of deals we are involved in. Our target is not to attack the companies you have just mentioned. Our target is to address areas we are not addressing today and expand beyond what the traditional [a big space] has been and most of our wins so far have been wins like that which I think is the way we would like to go by expanding those people to rather than by simple head-to-head competition in the anti virus space which we think is a good market but more commoditized market than the added security layers which we are providing.
Sterling Auty - JP Morgan: Alright thank you.
Operator: Thank you. Your next question is coming from Shaul Eyal with Oppenheimer and Co. Please go ahead.
Shaul Eyal - Oppenheimer and Co.: Thank you. Hi. Good afternoon guys. Good quarter and Eyal good luck in the future. Two quick questions. We have heard from a couple of networking companies who are not doing that well, kind of reducing their guidance into the first quarter and into 2008 and you guys at this time are doing absolutely well. Is it solution driven? Is it competitive displacement, i.e. market share? What is driving it?
Gil Shwed: I will try to answer that because first I don’t see that there is one driver because we have seen the success this quarter from different areas. I think Jerry mentioned that but one place in the world that has been successful was the U.S. enterprise market when we all kind of expected to see some weakness and actually we saw the biggest raise this quarter. Asia in which we continue to build the infrastructure has also shown nice growth this quarter. We have seen success on the appliances. We have seen success on the high end. We have also seen success on the low end of the appliances. We have also seen nice growth on the end point side so I don’t know if it is from one area or the other. I think like everybody else there is a lot of uncertainty about the economy and I don’t feel we are immune from that. I can say and reiterate the point that I feel pretty optimistic and based on the results we produced in the first quarter [they earned credibility] so far. Again, I don’t want to create the illusion that the security space or Check Point in general are immune from what is happening in the world but based on what we are seeing things are going quite well so far.
Shaul Eyal - Oppenheimer and Co.: Thank you. Eyal…the foreign exchange impact this quarter. Can you share with us some of the implication of it?
Eyal Desheh: First of all I think this was the first quarter that we really had some meaningful impact from foreign exchange. Our results are very good despite that. It is somewhere between $4 million more than close to $0.02 per share. We still managed to deliver earnings per share even better than the high end of our guidance but a weak dollar when some of your expenses are in Israeli shekel and some of your expense are in Euro and Asian currency it was an [excellent use] in this quarter but I think we survived it.
Shaul Eyal - Oppenheimer and Co.: Got it. So is it safe to assume you are keeping the annual guidance unchanged from the prior conference call and but for the currency exchange and declining interest rate that impacted the financial income, eps would have been higher for the year at this point?
Eyal Desheh : We don’t see any reason to change the annual guidance and I think all these factors have been brought into consideration.
Shaul Eyal - Oppenheimer and Co.: Alright thank you.
Gil Shwed: But you are right. It seems…the first quarter that we’ve seen a really meaningful impact with the currency changes and remember that pretty much all of our revenues are in U.S. dollars so it is not that we are getting it from both sides. We are getting only the effects of the expenses in dollars or in dollar currencies.
Shaul Eyal - Oppenheimer and Co.: Got it. Thank you very much. Eyal again thank you and good luck.
Operator: Thank you. Once again to pose a question that is *1. We do request to please limit your questions to one question at a time. Thank you. Our next question is coming from Phil Winslow with Credit Suisse. Please go ahead.
Phil Winslow - Credit Suisse First Boston: Hi guys. Great quarter. Just starting out first I’m wondering if you can give us a sense of what hardware represents a percentage of your revenues you’ve given in the past couple of quarters? Also going forward what do you expect the interest rate you will be able to earn on your cash?
Gil Shwed: First it is very hard for me to quantify the hardware effect because we are selling appliances and the appliances contain software and hardware. My belief is most of the value is in the software. I think about 90% of the value is in the software. Overall the integrated appliances we sold accounted for approximately 30% of the new products and licenses that we sold this quarter. So that is roughly what we’ve had in previous quarters, maybe slightly up. But as I said most of the [revenue] is not the hardware portion but is the software portion.
Eyal Desheh: Regarding your question of the yield, the interest rate yield, so far our portfolio is yielding a little over 4% annually. This of course would not stay like this for a very, very long time but a few quarters down the line we are invested in assets which provide these kinds of yields. We have moved some of our short terms to a longer term. When we saw that interest rates are heading south we secured some pretty nice yields for a pretty long period of time. As you know we don’t have the sub-prime problems in our portfolio and it is very, very clean and highly rated. That is why I said before to the previous question we have brought everything into consideration and the yield on the portfolio is not going to suffer a lot on the low interest rate because we don’t have a very large position in very short term.
Phil Winslow - Credit Suisse First Boston: Great. Thanks guys.
Operator: Thank you. Your next question is coming from Todd Raker with Deutsche Bank. Please go ahead.
Todd Raker - Deutsche Bank Securities: Hey guys. Nice quarter. Two quick questions. I know Eyal you said just as a passing comment that you are still back end loaded but can you talk about closure rate and as you look into your pipeline in Q2 are you kind of forecasting consisting closure rates of what you saw in Q1? A second question for Jerry and Gil with your new integrated end point strategy is there any resistance that you guys need to own all of those technologies instead of OEM’ing some of those technologies and do you see yourself having to make acquisitions to further that strategy over time?
Eyal Desheh: Regarding closure rates I want to be very general. We don’t go into specifics but I think if I understood your question we are closing very nicely on our pipeline. Very little slippage from one quarter to the other. Even though it happens. It has always happened and will continue to happen. Our back end loaded model I think is similar to the rest of the industry. These are the same customers and the same channel partners. We will do a little better than others but it is a business and lets not forget that a lot of deals close towards the end of the quarter and it is also back end loaded during the year. Lets not forget Q4 is also the strongest quarter so it is not just a quarterly phenomenon it is also an annual phenomenon. It is part of the business we are in. It comes with the territory.
Gil Shwed: For the second part of the question with end point technology. We are seeing that customers are receiving our technology very well. They key components, the security management, the many, many parts of it are Check Point where we are OEM’ing technologies and we are making technologies that we believe are widely available from the marketplace so the fact we OEM them I think is a very good thing and actually providing us with a lot of competitive edge because it keeps the partners and suppliers of the technology on the edge and so I think right now we have the best of confidence in every aspect. Even more [fervor] than that our solutions are very well integrated so from a customer perspective this is one solution. They don’t see the different components or the different technologies. It is more integrated than some solutions from other companies that own more technology. Not more technology because I think we own a lot of them but we own some of it. We only provide security of our own.
Todd Raker - Deutsche Bank Securities: Okay thanks guys.
Operator: Thank you. Your next question is coming from Sarah Friar with Goldman Sachs. Please go ahead.
Sarah Friar - Goldman Sachs: [inaudible] you had still very good growth but it came down from the last four quarters. Is that annualizing uptake data or is there anything going on on the macro side? I’m asking more because of some of the commentary out of Nokia this morning to make sure there is nothing starting to slip in the European region.
Jerry Ungerman: Sarah we missed the first part of your question. You weren’t online when you asked it.
Sarah Friar - Goldman Sachs: Oh sorry. Okay, the question was around EMEA growth. Of your three theaters, EMEA was your slowest. I was trying to dig into any changes you saw in the margin from a macro perspective. Particularly because I know you just came back from Prague so any update? The reason I’m asking is more because of Nokia commentary this morning that perhaps they were starting to see some spill over into EMEA from the general macro slow down that we’ve seen.
Gil Shwed: We haven’t heard these comments. We came back this morning actually very early from our conference in Prague. It was a record conference stronger than any year before. Comments we got from our European partners and customers were very positive. Again, last quarter…the last two quarters Europe was extremely strong. This quarter Europe was very much in line with what we expected. The main good news is actually that this good we saw [experience] in the U.S. So far we are seeing things that are pretty healthy and outlook of our European people for the second quarter is also very good.
Sarah Friar - Goldman Sachs: Okay. That’s great to hear. Then just on the tax rate side…tax rates picked up a little bit this quarter to a higher level than we’ve seen for the past few years. Is that a good level to assume going forward? Around that 17%? Or is there any reason why it ticks back down again?
Eyal Desheh: Yes. It is a good level. If you remember at the end of 2007 we already talked about that. Tax rate will uptake and I think the level we are seeing now. Let’s remember it is a good tax rate. A couple of points up and down but that’s a pretty good level.
Sarah Friar - Goldman Sachs: Okay great. Thanks. Good luck Eyal.
Operator: Thank you. Your next question is coming from Katherine Egbert with Jeffries and Co. Please go ahead.
Katherine Egbert - Jeffries and Co: Hi. Good morning and good afternoon. I have a question on the U.S. strength. Was all the strength coming from the quarter? Or were you benefiting from any effects or spillover if you will from the December quarter?
Gil Shwed: Not in any major way that I can say. As Eyal indicated earlier there is always [inaudible] from one quarter to another and there are deals by the way which are uncompleted this quarter and will go to the next quarter. So overall I think what we are seeing is good Q1 activity and I think we are indicating….but remember Q4 was a very, very strong quarter for us. If that is the trend then I hope it continues.
Katherine Egbert - Jeffries and Co: Okay. Then just a quick comment on the Nokia product? How is that for you during the quarter?
Jerry Ungerman: It is going very well. We are very pleased that one year into it now it has gone very well. As I said we just brought out three new models to complement what we already have. We went lower in which we see real market opportunity there to address a lot of opportunities available in the market place. And we went higher. It is a very well positioned product. It has been successful for us and I think it will continue to be and I think our partners will like taking it to the market.
Katherine Egbert - Jeffries and Co: Thanks Jerry.
Operator: Thank you. Our next question is coming from Robert Breza with RBC Capital Markets. Please go ahead.
Robert Breza - RBC Capital Markets: Hi. Great quarter guys. I’m wondering if Gil you could comment on the vertical strength that you saw or maybe verticals you saw some weakness in…the top two or three. Then just as a follow-up, Jerry, if you look at the ten $1 million plus deals I’m curious if you can comment on whether those are new or existing customers? Just some dynamics there. Are those multi-year agreements? Multi-products, etc? Any color around that would be helpful. Thanks.
Gil Shwed: In terms of vertical I can saw that we have not changed. We have looked at our preliminary analysis this morning and it looks pretty good. I mean we had good success in many sectors. I can name important wins this quarter in the government sector, the financial sector, the technical sector. So I can’t say there was any one which drove that. Jerry may be can follow up on the second part.
Jerry Ungerman: Robert it is pretty...I said early on it was both new opportunities and displacements. I think more of the end point is significant new opportunities we are getting. Some very, very large transactions that are all competitive. We’re doing very well on a lot of the networking stuff. Some might be customers but we are doing very large displacements both transactions that happened during the quarter as well as there are long-term roll outs associated with many of them that will be multi-year deployments of our technology as they continue to take more and more products and we refresh what they have in place. So these are some really big transactions with really big companies that will continue on into the future and I think we have a product portfolio that is well positioned to let us continue to do that. I’m really pleased with where we stand to where both the market opportunity and the competitors that we have in the market.
Robert Breza - RBC Capital Markets: Great. Thank you. Good luck Eyal.
Operator: Thank you. Our next question is from Walter Pritchard with Cowen and Co. Please go ahead.
Walter Pritchard - Cowen and Co.: Just a question around you gave some numbers around [point sec] talking about 25% growth in that business. I just want to clarify is that a reported number or is that adjusted for the write down in deferred revenue that you were sort of burned with a year ago?
Eyal Desheh: A reported number.
Walter Pritchard - Cowen and Co.: Got it. Just as a follow-up Eyal on the deferred revenue. That number has usually been quite strong in Q1. It wasn’t as strong this quarter as it has been in past Q1s. I’m just trying to understand was there any other impact, for example from appliances on the deferred revenue, or just other ways that your business may be shifting more recently that would have impacted the deferred revenue?
Eyal Desheh: I think the answer to your question is Q4 last year which was extremely strong on the increase of deferred earnings. If you look at the annual run rate from Q1 last year to Q1 this year it is 17% which is very similar to the revenue growth of the quarter. I think it is very well balanced. I don’t think the decline has a major impact. Appliances are being sold with service package and with upgrades and subscription packages similar to software and that doesn’t change the business model in that regard.
Walter Pritchard - Cowen and Co.: Great. Thanks so much. As well good luck Eyal on your new job.
Operator: Thank you. Our next question is coming from Daniel Ives with Friedman, Billings, Ramsey & Co. Please go ahead.
Daniel Ives - Friedman, Billings, Ramsey & Co.: Thanks. Good job proving the Armageddon thesis wrong again. In regards to geographic within the U.S. throughout the 3 months did you see any change through March and February in regards to attitudes, pipelines, deal signatures?
Gil Shwed: The only thing I can say is that March was very, very strong. We had a quarter of exceptional strong ending. I don’t know if we can say much but basically from what we’ve seen and from our numbers perspective [but the main phenomenon is…]
Daniel Ives - Friedman, Billings, Ramsey & Co.: Okay. And just have a happy Passover. Good luck and congrats again.
Operator: Thank you. Our next question is coming from Michael Turits with Raymond James. Please go ahead.
Michael Turits - Raymond James: Hey guys. Eyal thanks for all your help over the years and really the best of luck to you. Thanks very much. Question…on the appliance sales how much of the appliance sales may have been a function of the replacement cycle of hardware in the bay? Is there any…as you work through replacing the hardware in the bays that you begin to have a hesitation in the appliance growth?
Gil Shwed: I think that we really haven’t started to see that yet. We are just now completed introduction of the Check Point appliance line. I think what it opened for us is a much higher level of renewal cycle especially for long Check Point customers. In the past we weren’t fully equipped to [to answer your needs] because we could have said we can give you great solution on the software but you still need to worry about the hardware and that would be hard when you are replacing a competitors hardware. Today we are fully equipped to do that both in the mid range with the UTM-1 and the higher end with the Power-1 series. So right now I think we are only starting to see the potential of participating in the competitive replacement when people replace their non Check Point appliance line.
Michael Turits - Raymond James: Then on the data security side can you comment a little bit on how the market is going competitively especially with pricing? Do you think pricing is holding up on a year-over-year basis? If so any changes relative to competitors like [Safeguard]?
Gil Shwed: I think our pricing is holding up kind of the same average price over the past year. We are packaging it differently and again I think we have a different vision than just offering point product. So we are trying to change that in terms of offering a broader solution and the Check Point Single Agent for end point security and offer more and more functionality around that. Competitive landscape…it has been a competitive market and is still a competitive market. I heard this week from some distributor comments about the weakness of some companies you have just mentioned but I’m not raising them because they aren’t for the entire market. It is very hard to say about that.
Michael Turits - Raymond James: Okay. Thanks very much.
Operator: Thank you. Your next question is coming from Todd Weller with Stifel, Nicolaus & Company. Please go ahead.
Todd Weller - Stifel, Nicolaus & Company: Thanks. Just two questions. One I’d love to get an update on the IPS and how that is going for you and aggressively are you pushing that as a stand alone versus embedding that into UTM? Then just any commentary around U.S. government demand and how that is looking this year relative to what you saw last year? Thanks.
Jerry Ungerman: IPF continues to go well. It is both. It goes back to our choice thing, Todd. Software/hardware/integrated/independent/stand alone…we’re getting acceptance across all fronts. I think it is one of the unique things we do is to provide both the software and a hardware solution as well as an integrated gateway and stand alone. I think you’ll see a lot more of us. A lot more emphasis as we continue to evolve and expand the capability of the product. We just made some announcements with it and I’m excited about where we are going with IPS-1. The second part of the question was….U.S. government continues to be a good market place for us. Gil talked about the sector. There hasn’t been a lot of changes. As you know we are very broad, very diversified across all the major segments around the world and the U.S. government continues to be a very good customer of ours both for network security and our end point solutions and I have not seen that change.
Operator: Thank you. Our last question is coming from Rob Owens with Pacific Crest Securities. Please go ahead.
Rob Owens - Pacific Crest Securities: Good morning everyone. Can you tell us how much is still authorized on the buyback with the incremental $400 million added during the quarter?
Gil Shwed/Eyal Desheh: $400.
Rob Owens - Pacific Crest Securities: There is just $400 left at this point? Okay. Number two if we look over the last couple of quarters we have definitely seen a re-acceleration in the core business. How much of that is green field opportunity in your mind versus competitive displacement and who do you think you are displacing the most out there?
Gil Shwed: Both. In terms of displacement we are probably mostly displacing Cisco but we have seen displacement of everyone from Cyberguard to Juniper and very different, very broad set of displacement. That is on the core network security. We have also seen, by the way, displacement on the end point where we are displacing [Alvera] Continued Solutions. Even in a relatively young market we are stealing some placement.
Operator: Thank you. There appear to be no further questions. I would like to turn the floor back over to management for any closing comments.
Eyal Desheh: Alright. Thank you all for your participation today. If you want to talk to management please call our Investor Relations department at (650) 628-2050. We’ll be very happy to answer your questions and discuss further details of the quarter with you. We hope to listen and talk to all of you next quarter. Thank you very, very much.
Operator: Thank you. This concludes today’s Check Point Software Technologies first quarter 2008 earnings results conference call. You may now disconnect.